Operator: Good morning, ladies and gentlemen, and welcome to Genworth Financial's Second Quarter 2024 Earnings Conference Call. My name is Cynthia, and I will be your coordinator today. At this time, all participants are in a listen-only mode. We will facilitate a question-and-answer session towards the end of this conference call. As a reminder, the conference is being recorded for replay purposes. Also, we ask that you refrain from using cell phones, speakerphones or headsets during the Q&A portion of today's call. I would now like to turn the presentation over to Brian Johnson, Senior Vice President of Financial Planning and Analysis. Please go ahead, sir.
Brian Johnson: Thank you and good morning. Welcome to Genworth's second quarter 2024 earnings call. The slide presentation that accompanies this call is available on the Investor Relations section of the Genworth website, investor.genworth.com. Our earnings release and financial supplement can also be found there and we encourage you to review these materials. Speaking today will be Tom McInerney, President and Chief Executive Officer; and Jerome Upton, Chief Financial Officer. Following our prepared remarks, we will open the call up for a question-and-answer period. In addition to our speakers, Jamala Arland, President and CEO of our U.S. Life Insurance businesses; and Kelly Saltzgaber, Chief Investment Officer will be available to take your questions. During the call this morning, we may make various forward-looking statements. Our actual results may differ materially from such statements. We advise you to read the cautionary notes regarding forward-looking statements in our earnings release and related presentation, as well as the risk factors of our most recent annual report on Form 10-K as filed with the SEC. This morning's discussion also includes non-GAAP financial measures that we believe may be meaningful to investors. In our investor materials, non-GAAP financial measures have been reconciled to GAAP where required in accordance with the SEC rules. Also, references to statutory results are estimates due to the timing of the filing of the statutory statements. And now, I'll turn the call over to our President and CEO, Tom McInerney.
Thomas McInerney: Thank you, Brian. Good morning everyone, and thank you for joining our second quarter earnings call. Genworth continues to make strong progress against our strategic priorities to drive long-term growth and shareholder value. In the second quarter, Genworth reported net income of $76 million or $0.17 per share and adjusted operating income of $125 million or $0.28 per share. Results were led again by Enact, which had a very strong quarter with adjusted operating income of $165 million to Genworth. We are very pleased with Enact's continued strong operating performance, capital levels and shareholder distributions. As a result of its continued momentum, yesterday, Enact announced an increase to its expected shareholder return for the full year, which Jerome will cover in more detail later. Since Enact's IPO, Genworth has received approximately $738 million in capital from Enact, including $63 million in the second quarter. We're very satisfied with our approximately 81% ownership stake in Enact as it continues to generate significant earnings and cash flows that support our capital allocation priorities of share repurchases, opportunistic debt reduction and growth investments in CareScout. Our LTC segment reported an adjusted operating loss of $29 million in the second quarter, driven by a liability remeasurement loss. Meanwhile, life and annuities reported an adjusted operating loss of $1 million, driven by losses in life insurance. On the statutory accounting basis, the U.S. Life Insurance companies had a very strong quarter with pre-tax income estimated at $171 million, driven primarily by benefits from LTC rate force actions. Complete statutory results for U.S. Life Insurance companies will be available when we file our second quarter statutory statements later this month. Jerome will cover our performance by segment in more detail. As I shared at our annual meeting in May, we refined our strategic priorities to reflect our significant progress to date and more clearly articulate our vision for Genworth's future. Our first strategic priority is to maintain our self-sustaining, customer-centric LTC life and annuity legacy businesses. Our multi-year rate action plan or MYRAP remains critical to this effort as the most effective tool we have to bring our legacy LTC insurance portfolio to breakeven on a go-forward basis. We had an outstanding quarter under the multi-year rate action plan, achieving a total of $138 million of gross incremental premiums approved, with an average percentage premium increase of 47%. This brings our cumulative progress to an estimated $29.2 billion in approvals on a net present value basis since 2012. Our next strategic priority is to drive future growth through CareScout with innovative, consumer-focused aging care services and funding solutions. We continued to scale our CareScout Quality Network in the second quarter, extending its availability to more than 40 states as of July 30. As a reminder, the initial buildout of the CareScout Quality Network includes only home care providers and is only accessible to Genworth LTC policyholders. This approach allows us to establish a presence across the U.S. before adding assisted living facilities and other care types to the network and introducing a direct-to-consumer offering in the future. We previously laid out a 2024 goal of achieving home-care coverage for two-thirds of the age 65-plus census population in the U.S. I'm pleased to share that as of the end of July, we have already achieved approximately 70% coverage of that group and now expect to achieve between 80% to 85% coverage by the end of the year. The network currently includes over 300 high-quality, person-centered, home-care providers. Further, more than 90% of these providers have agreed to hourly rates below the median cost of care in their respective zip codes, along with meeting our quality credentialing standards. Along with the strong progress on building the network, we are also encouraged by the network's early adoption by our LTC policyholders. We have already helped hundreds of new policyholders on claim find quality care with CareScout Quality Network care providers. We've received positive feedback so far from both providers and policyholders who value the balance of quality, price and service offered by our one-of-a-kind network. While it will take time, we remain confident in our previously stated goal to drive savings on Genworth LTC claims over time of between $1 billion to $1.5 billion on a net present value basis, further mitigating risk in our legacy LTC block. It is important to remember that while we're in the early stages of this business with plan to extend the offering beyond our policyholders to other LTC insurers, policyholders, employers and the broad consumer market where we see a substantial opportunity for growth. We will continue to refine the customer experience with valuable input from our policyholders and network providers and invest thoughtfully as we scale. In addition to bringing new agent care services to market, we continue to prepare new long-term care funding solutions for the millions of Americans who are unprepared to meet the cost of care. As I've shared, we are initially working on an individual product with cap coverage limits and conservative assumptions designed to reduce the need for future LTC premium increases. It will also include access to the CareScout Quality Network, which provides significant discounts on care costs to help policyholders optimize their claim dollars. We are currently engaging with the Interstate Insurance Product Regulation Commission known as the Compact, and plan to seek its approval for this product to help us reach scale across the Compact's multiple member states. We also will pursue product approvals from additional jurisdiction. There is significant unmet demand for new and improved LTC funding products among consumers, distributors and regulators. We are excited with our plan to reenter the market with this product in 2025 and continue innovating on future products to give families more options to plan for the increasing cost of quality care. Our third strategic priority is to create shareholder value to Enact's growing market value and capital returns. We are very pleased with Enact's total shareholder return of 104% as of July 30th, since its IPO in 2021. With respect to capital returns, in the second quarter, we use cash flows from Enact to repurchase approximately $36 million of shares. In total, we have repurchased approximately $470 million of shares at an average price of $5.47 per share since the program's inception in May 2022. We are also leveraging cash flows from Enact to drive long-term growth and continue to expect an investment of approximately $35 million in CareScout services this year as we scale the CareScout Quality Network. Before I wrap up, I wanted to take a moment to remind investors that the trial date and access case against Santander regarding the payment protection insurance misselling case is still set for March of 2025. As we have said before, Genworth is not a party to the case, but previously owned the payment protection insurance business before selling it to AXA in 2015. If AXA is successful in pursuing its claims, we will share in the recoveries AXA receives from Santander. We continue to monitor the proceedings closely and will update investors of any material developments. In closing, I am very pleased with our continued progress against our strategic priorities year-to-date along with Enact's strong performance. And with that, I'll turn the call over to Jerome.
Jerome Upton: Thank you, Tom, and good morning everyone. I'm very pleased with the ongoing value creation delivered by Enact and progress on our LTC in-force rate actions, as well as our capital optimization and continued improvement in financial flexibility in the quarter. I'll first discuss Genworth's results and drivers in more detail. Then, I'll provide an update on our investment portfolio and holding company liquidity before we open the call for Q&A. Per Slide 5, and as Tom mentioned, second quarter adjusted operating income was $125 million, driven primarily by Enact. Our long-term care insurance segment reported an adjusted operating loss of $29 million, primarily driven by a liability remeasurement loss from actual to expected experience, partially offset by favorable variable investment income and net insurance recoveries. The favorable seasonal impact from mortality, we observed in the first quarter, subsided as anticipated and we continue to expect LTC GAAP earnings pressure throughout the remainder of the year due to short-term deviations of actual results compared to long-term assumptions. We also expect a liability remeasurement loss from actual-to-expected experience for the full year. As we have said before, GAAP results continue to be volatile. We believe statutory results better represent the underlying economics of the LTC business, including the positive impacts resulting from our in-force rate actions and settlements. The strong results from Enact were also partially offset by adjusted operating losses of $1 million in life and annuities and $10 million in corporate and other. Life and annuities included an adjusted operating loss in life insurance at $23 million, improved versus the first quarter, driven by favorable mortality as well as adjusted operating income of $12 million from fixed annuities and $10 million from variable annuities. The $10 million loss in corporate and other was driven by interest expense on holding company debt and investments for our growth initiatives in CareScout offset by favorable corporate tax timing. Now taking a closer look at Enact's performance on Slide 6. Enact delivered a very strong second quarter, including high-quality growth in its insured portfolio and strong profitability. Enact's adjusted operating income of $165 million to Genworth increased 13% versus the prior year, reflecting favorable losses and net investment income. Primary insurance in-force increased 3% year-over-year to $266 billion, driven by new insurance written and continued elevated persistency. As shown on Slide 7, Enact had a favorable $77 million pre-tax reserve release in the second quarter, which drove a loss ratio of negative 7%. The reserve release primarily reflects favorable cure performance from 2023 and prior delinquencies. Enact has a strong estimated PMIERs sufficiency ratio of 169%, approximately $2.1 billion above PMIERs' requirements. Genworth's share of Enact's book value, including AOCI, has increased to $3.9 billion at the end of the second quarter of 2024, while at the same time Enact has delivered significant capital returns to Genworth. The combination of Enact's quarterly dividend and its share repurchase program generated a total of $63 million in proceeds to Genworth in the second quarter. As Enact announced yesterday, it now expects to return a total of between $300 million to $350 million to its shareholders in 2024. Based on our approximately 81% ownership position, we now expect to receive between $245 million to $285 million from Enact for the full year. Enact's shareholder return program provides additional support to Genworth's capital allocation priorities, which I will cover in more detail later. Turning to long-term care insurance starting on Slide 8, we continue to demonstrate the self-sustainability of the life insurance companies as we stabilize the LTC legacy block and protect our claims-paying ability. The strong progress on our multi-year rate action plan or MYRAP and legal settlements continues to significantly reduce the tail risk on this block. As of the end of the second quarter, we have achieved in-force rate actions estimated at $29.2 billion on a net present value basis and have seen a cumulative policyholder response rate of 55% to reduce benefits. Slide 9 shows more details on the filings approved in recent periods, including $138 million in the current quarter, as well as the positive trend we've seen in policyholder benefit reduction elections. We continue to expect strong approvals for the full year. We submitted $104 million of in-force premium filings in the first half of the year. Though we expect this amount to increase in the second half of the year, we expect the total in-force premium filings submitted this year to be lower than previous years as in some cases, prior large approvals or multi-year implementations have delayed the need for additional filings. We are pleased with this progress and, as Tom noted, the demonstrated success with the MYRAP, which continues to be our most effective tool in maintaining the self-sustainability of the legacy LTC business. I will add that approximately $33 billion of projected value from the MYRAP has and may continue to increase over time with changes to liability assumptions, but this impact also increases the value of previously approved rate increases and associated benefit reductions. This speaks to the resiliency of our business that has been strengthened through reduction of exposure to more costly benefit features like 5% compound benefit inflation option and unlimited benefits. As shown on Slide 10, in-force rate actions and legal settlements drove a $907 million benefit to LTC statutory income on a pre-tax basis in the first half of the year, which is $186 million higher than in the first half of 2023 and which more than offset the impact of unfavorable experience driving total LTC statutory pre-tax income of $257 million. Slide 11 shows our strong overall pre-tax statutory income for U.S. Life Insurance companies of $171 million in the second quarter, driven by the favorable impacts of in-force rate actions and legal settlements in LTC, which we expect to decline in the second half of the year as the implementation of the third and final legal settlement winds down. Second quarter results also reflect the net unfavorable impact, seasonally lower mortality compared to the prior quarter. Strong statutory earnings drove a consolidated risk-based capital ratio for Genworth Life Insurance Company, or GLIC, of 319% at the end of June compared to 314% at the end of March. GLIC's consolidated balance sheet remains sound with capital and surplus of $3.6 billion as of the end of June. Our final statutory results will be available on our investor website with our second quarter filings later this month. As we've said before, we manage the U.S. Life Insurance companies on a standalone basis. They operate as a closed system leveraging existing reserves and capital to cover future claims and other obligations. We will not put capital into the legacy life insurance companies and given the long-term nature of our LTC insurance policies with peak claim years at least a decade away, we also do not expect capital returns from these companies. Moving to our investment portfolio, which is summarized on Slide 12. We remain confident in our positioning and believe we have the right strategy given the products in our portfolio and the long duration of our liabilities. As a reminder, the majority of our assets are in investment-grade fixed maturities that we generally buy and hold to support the U.S. Life Insurance company's liabilities, with unrealized gains and losses impacting equity through changes in other comprehensive income. Because the liabilities are very long duration, especially for LTC, we have very limited liquidity risk. The portfolio continues to benefit from higher interest rate environment and macroeconomic conditions. New money was invested at approximately 6.20% in the quarter, excluding alternative investments which have targeted returns of approximately 12%. Our net investment income reflects both solid base portfolio performance and steady returns in our alternative asset program, which is composed mainly of diversified private equity. We remain confident in our commercial real estate exposure, which is approximately 15% of our total portfolio and is concentrated in higher-quality investment-grade assets, with office exposure less than 20% of our real estate investments. Next, turning to the holding company on Slide 13. We received $63 million of capital from Enact during the second quarter, which included accelerated returns from its share repurchase program. We ended the quarter with $281 million of cash and liquid assets. Included in our cash and liquid assets, we hold approximately $95 million of advanced cash payments from our subsidiaries for future obligations. We do not consider this cash when evaluating holding company liquidity for the purpose of capital allocation or calculating the buffer to our debt service target. Tom reviewed our capital allocation strategy and I'll reiterate that our top priorities shown on Slide 14 are to invest in long-term growth through CareScout, return cash to shareholders through our share repurchase program when our share price is below intrinsic value, and opportunistically pay down debt when attractive to us. We continue to return capital to shareholders via share repurchases in the second quarter, repurchasing $36 million at an average price of $6.29 per share and another $12 million through July 31st. We have $230 million remaining under our current authorization as of the end of July and now expect to allocate between $150 million to $170 million to share repurchases in 2024, up from our previous expectations of $125 million to $150 million, as a result of our improved cash expectations, which include Enact's increased capital return. Our expected range for the full year may vary depending on our share price and market conditions and, as a reminder, is lower than the amount we repurchased in 2023, given that we have fully utilized our holding company tax assets. Since the initial authorization in May 2022, we have reduced outstanding shares by 15% from approximately 511 million shares to 432 million shares outstanding as of July 31, 2024. We're very pleased with the value created for shareholders through our share repurchase program. We also repurchased $12 million in principle of long-dated subordinated notes in the second quarter for $10 million, reducing our total holding company debt to $838 million. We maintain a debt-to-capital ratio below 25%, attributing no equity value to LTC life and annuities. We are pleased with our financial flexibility given our liquidity level, sustainable cash flows from Enact and manageable debt level. In closing, we are delivering on our strategic priorities while proactively managing our liabilities and risk. The multi-year rate action plan and the additional benefit from the three LTC legal settlements are further stabilizing the legacy LTC block. Enact is a key driver of shareholder value, as evidenced by its strong earnings, increasing book value and increased capital returns. Looking ahead, we will continue to focus on delivering sustainable long-term growth through Enact and CareScout, while returning meaningful value to shareholders through share repurchases and opportunistically repurchasing holding company debt. Now, let's open up the line for questions.
Operator: [Operator Instructions] It appears that there are no questions at this time. Ladies and gentlemen, I will now turn the call back over to Mr. McInerney for closing comments.
Thomas McInerney: Thank you very much, Cynthia, and thanks for everybody on the call today. In closing, I'd like to emphasize four key takeaways for the second quarter. First, it was a solid quarter for earnings, led again by Enact. We had excellent MYRAP results, $138 million for the quarter and a total net present value benefit to Genworth of $29.2 billion, since we started the multi-year rate action plan in 2012. We had strong progress in CareScout, particularly building the CareScout Quality Network. Our full-year 2024 target was to have 65% of the U.S. population for 60-plus-year-olds covered by the end of the year. We're now at 70% and we expect to be at 85% by the end of the year. So with effective national coverage by the end of the year, we look to then provide high-quality care at significant reduced costs for Americans. And we have three target groups to focus on to bring the CQN network, first, Genworth policyholders, then other policyholders of other insurers and then ultimately consumers. So we expect good revenue growth going forward starting really in 2025 and beyond. And the revenue growth will come from - at least from the CareScout Quality Network as a percentage of the cost savings delivered by the CQN. And finally, we had significant free cash flow again generated by Enact. They announced that they're increasing their capital return for the year, gave a range and again a significant amount of that capital, free cash flow will ultimately return to shareholders with a balance used to reduce debt and invest in the CareScout businesses. Thank you for your interest and support for Genworth in attending the call. And with that, I'll turn the call back over to Cynthia.
Operator: Ladies and gentlemen, this concludes Genworth Financial second quarter conference call. Thank you for your participation. At this time, the call will end.
 :
 :